Operator: Ladies and gentlemen, welcome to the Symrise H1 2025 Analyst and Investor Call. I am Matilda, the Chorus Call operator. [Operator Instructions]. And the conference is being recorded. [Operator Instructions]. The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Rene Weinberg, Head of Investor Relations. Please go ahead.
Rene Weinberg: Thank you, Matilda. Good afternoon, ladies and gentlemen. Welcome to our first half 2025 results call. Thank you for joining us today. All related documents, including the press release and presentation we will reference on today's call are available in the Financial Results section of our website. With me today are our CEO, Jean-Yves Parisot; and our CFO, Olaf Klinger. After reviewing the results and the outlook for 2025, we will open the line for questions. With this, I will hand over the call to Jean-Yves.
Jean-Yves Parisot: Thank you. Thank you very much, Rene, and thank you all for joining us today. Today, I will review first half performance highlights. Olaf will then cover our financial results in great detail. And then I will provide an update on our One Symrise Transformation journey and the full year outlook. But before discussing first half results, I wanted to take the time to reflect on my first 16 months of CEO of Symrise. In my conversation with Symrise's customers, partners, investors and other key stakeholders, what is abundantly clear to me is that Symrise has a long heritage of market leadership, born out of a technical expertise, differentiated innovation, long-standing customer relationship and a passionate curios culture. Starting with our shift in 2024 to focus on delivering profitable growth, we have embarked on this journey to take the best of Symrise and transform into a company that generates durable profitable growth, strong free cash flow and compounding returns. And it is just that, a transformation as we need to increase accountability and entrepreneurship to deliver top-tier results, operational excellence and shareholder value. We are in the early phases of our multiyear journey. And importantly, we are taking bold and decisive actions. We are seeing momentum build as we continue to execute against our ONE SYM Transformation and the ONE Symrise Strategy that we are beginning to activate. Now let me walk you through the key highlights of our performance and strategic progress on Slide 4. Over the past 12-plus months, we have implemented and began to activate our transformation. And today, we are seeing clear evidence of that this transformation is gaining momentum. First, our results in the first half of 2025 are clear evidence of our efforts coming to fruition. We achieved solid organic sales growth in a challenging macroeconomic environment and delivered improved profitability. Our margin expansion underscores our focus on operational efficiency and disciplined cost management. And we are now entering the next phase of our ONE SYM Transformation. With the design and implementation phase complete, we are now shifting towards activation around optimizing our portfolio, delivering profitable growth and driving efficiency. We have also continued to strengthen our leadership team, adding fresh expertise and global experience to support the execution of our strategy and achievement of our goals. Finally, we're updating our guidance to reflect both the current global demand environment and the progress we are making in executing our ONE Symrise Strategy. More on that later. Together, these steps position us well for the second half of the year and beyond. Please turn to Slide 5. Before we go into the details regarding our performance in the first half of this year, I am very excited to announce the appointment of Michael Friede to Executive Board as President of the Scent & Care segment, which I was leading at interim. Michael brings many years of broad market knowledge and a high level of industry-specific expertise in various growth areas. Additionally, he has proven international experience, making him an excellent choice for Symrise as a company with global operations focused on delivering exceptional experiences to our customers around the world. This appointment follows other critical leadership additions we have made in 2025, including SVP of Global Operations, SVP for Global Procurement, SVP for Global Quality and Regulatory and the Chief Digital and Information Officer. With that, please turn to Slide 6 to the first half performance highlights. Sales were EUR 2.554 billion, reflecting 3.1% organic growth. While Symrise continues to grow faster than the relevant market, we are observing a dynamic global environment with choppy consumer behavior across certain sectors. To that end, we are focused on controlling the controllable, including delivering on a healthy pipeline of sales opportunities and project vitality with selected customers in key markets while managing tough year-on- year comparables. EBITDA for the first half of 2025 amounted to EUR 554 million, a 4.5% increase compared to the first half of 2024. The EBITDA margin improved to 21.7%, up 100 basis points year-on-year, driven by our focus on value-added products and recurring cost savings through efficiency programs. Net income for the first half of 2025 amounted to EUR 268 million, representing a 12% increase compared to the same period 2024. Earnings per share also saw a significant increase, reaching EUR 1.92, equating to double-digit growth. Business free cash flow for the first half of 2025 totaled EUR 226 million or a healthy 8.8% of sales. Lastly, we have updated our guidance to reflect the current global demand environment and execution of our One Symrise Strategy. For the full year 2025, we are moderating our organic growth range to 2% to 5% from 5% to 7% previously. We remain focused on driving above-market growth through a relentless focus on our customers, innovation and commercial rigor. Through our focus on self-help initiatives and value-added sales, we are increasing our EBITDA margin expectation from around 21% to approximately 21.5%. This is driven in part by identified annual cost savings and efficiency improvements amounting to EUR 40 million, with EUR 20 million already realized in the first half of 2025 and the remaining EUR 20 million expected in the second part of the year. Let's turn now to Slide 7 for performance by segment. The Taste, Nutrition & Health segment achieved organic sales growth of 3.3%. Taking into account portfolio and exchange rate effects, segment revenue was EUR 1.564 billion in reported currency. The industry- leading growth in Food & Beverage was driven by higher volumes in beverage and Savory applications. The Pet Food division maintained flat organic sales despite continuous cautious consumer sentiment across key markets. The Scent & Care segment achieved organic sales growth of 2.9%. Taking into account currency effects, segment revenue was EUR 989 million in reported currency. Fragrance continued to see strong organic growth across all application areas and especially in Fine Fragrances. We see significant recovery in Aroma Molecules due to increased capacities and ongoing market-wide inventory normalization. In the Cosmetic Ingredients division, we continue to contend with a very strong demand level from H1 2024 and difficult prior year comparables. Let's move now to the results for the region in Slide 8. We grew particularly well in Latin America, delivering organic growth of 10.6%. Asia Pacific and EMEA also generated good organic growth of more than 3%. In the North American market, we are seeing weaker general sentiment, primarily due to macroeconomic uncertainties, persistent inflation and increasing political and regulatory unpredictability. While these headwinds are affecting the broader consumer environment, it is important to emphasize that this is not a Symrise-specific issue, but rather a reflection of the overall market environment in which we are operating. For the first half, we saw slightly negative organic growth of 1.4%. We continue to work with our customers as they work through consumer-driven challenges in the region. Let me stop here for the moment and hand over to Olaf, and Olaf now will provide you more details on financials.
Olaf Klinger: Thank you, Jean-Yves, and also a warm welcome to everybody tuning in today. Let me provide some details regarding our sales on Slide 10. In the first half, we delivered healthy organic growth amid an overall resilient but lower volume environment. Our organic growth of 3.1% was driven by a 1.9% increase in volumes and positive pricing of 1.2%. Strong demand for beverages and Fine Fragrances supported our performance. Offsetting the growth, there's a portfolio effect of EUR 10 million related to the March 2024 divestment of 51% of our beverages trading in the U.K. In addition, we had negative FX of EUR 81 million, driven primarily by the depreciation of multiple currencies. Turning to the second quarter. Organic growth was 2%. The growth is split by an 0.8% increase in volume and positive pricing of 1.2%. FX continued to be an even stronger headwind, contributing to a negative impact of EUR 63 million, representing 4.9%. Please turn to the performance of Taste, Nutrition & Health for the first half of 2025 on Slide 11. We continue to deliver solid results with organic growth of 3.3%, supported by both of our divisions. The growth is split by a 2.4% increase in volume and positive pricing of 0.9%. Food & Beverage developed positively with industry-leading mid-single-digit growth, which was primarily volume driven. The Pet Food business unit was able to maintain organic sales at the previous year level despite a very cautious consumer across key markets. The Pet Palatability application area recorded solid growth with good volume and pricing growth. Taste, Nutrition & Health EBITDA increased by 4.7% to EUR 364 million. The EBITDA margin improved to 23.3%, up from 22.1% in H1 2024, an increase of 120 basis points, mainly driven by efficiencies and operational performance. Please turn to the performance of Scent & Care on Slide 12. The Scent & Care segment achieved organic sales growth of 2.9% in the first half of 2025. The growth is split by a 1.1% increase in volume and positive pricing of 1.8%. FX continued to be a headwind of 3.3%. Scent & Care EBITDA increased 4.1% to roughly EUR 190 million in the first half of 2025. The EBITDA margin was 19.2%, 90 basis points higher than the previous year, which was also driven by operational efficiency efforts as part of the ONE SYM Transformation. Let's now look at what drove our strong profitability performance in the first half of 2025 on Slide 13. In short, we delivered double- digit EBIT growth, supported by both robust EBITDA margin and a significant improvement in gross profit. Our gross profit margin increased to 41.4%, up 250 basis points versus the prior year period. This substantial uplift was primarily driven by enhanced material utilization. Our Transformation Program is starting to contribute meaningful efficiencies and a key contributor has been our cost savings. In H1 alone, we delivered EUR 20 million recurring cost savings through efficiency improvements. As part of our ongoing Transformation Program, we are achieving efficiency across several key areas. For example, we are reevaluating our spending to define the most effective sourcing strategy, ensuring both a secure market supply and improve competitiveness. We are rolling out a new global sourcing approach for our businesses. In addition, we've made significant progress in raw material and packaging optimization. Through strong lean implementation, we've improved process yields, reduced material waste and enhanced first-time right performance. Together, these initiatives are driving substantial cost savings already. Notably, we achieved an EBITDA margin of 21.7%, up 100 basis points year-on-year. This improvement reflects value-added sales and recurring cost savings through efficiency programs. Of note, the 2024 gross profit was impacted by onetime effects, including a EUR 17.9 million asset impairment in the U.S. for Pet Food last year. This had a neutral effect on EBITDA, but explains as well the improvement of depreciation and the positive development [of EBITDA]. Lastly, I want to highlight the impact of extraordinary items on EBITDA. We had a EUR 4.2 million loss impact from the Aqua divestiture, a EUR 1.2 million legal cost environment and a EUR 4.5 million expense for the ONE SYM Transformation program itself. This compares to EUR 17 million in onetime items in 2024. These included at that point, EUR 9 million in severances and a write-off of around EUR 8 million in connection with the legal dispute. Together, these results reflect strong execution and a clear focus on improving operational excellence, positioning us well to deliver sustainable margin expansion and operating leverage long term. Net income increased by 12% to EUR 268 million. This represents a 12% increase in EPS to EUR 1.92 per share. Moving forward to the business free cash flow on Slide 14. Business free cash flow remains stable, reaching EUR 226 million or 8.8% of sales. This reflects balanced performance across key drivers. We saw an improved EBITDA contribution. At the same time, there was a slight increase in capital expenditure from EUR 90 million in the first half of 2024 to now EUR 92 million this period as we continue to invest in growth and operational efficiency. In addition, we are focused on effectively managing working capital with an improvement in inventory efficiency, which helped offset some of the pressure from increased CapEx. Overall, this result demonstrates our ongoing focus on disciplined capital allocation and operational execution. For 2025, our aim for the business free cash flow is around 14% of sales. And for the midterm, we are targeting above 14%. Let's move to our balance sheet and net debt on Slide 15. Our balance sheet remains strong with an equity ratio of 48.3%, consistent with the previous year. This stability reflects our commitment to maintaining a healthy financial position and investment- grade profile. Net debt, including pension and lease liabilities amounted to EUR 2.535 billion or a leverage ratio of 2.4x within our midterm target of 2 to 2.5x. And with this, I would like to hand back the call to Jean-Yves, and thank you for the moment.
Jean-Yves Parisot: Thank you. Thank you very much, Olaf. And I propose to move now to the Slide 17. As I told you, I want to take this opportunity to walk you through the key elements of our multiyear ONE SYM Transformation, a journey we designed to enable profitable growth, enhance returns and ensure long-term value creation. And that ONE SYM Transformation is a prerequisite for the successful execution of our purpose-driven One Symrise Strategy. Let's move directly to the Slide 18, and let's drill down into the ONE SYM Transformation on that slide. Since April 2024, we have been designing and implementing the road map to a stronger, more durable Symrise. This included defining our One Symrise culture of tomorrow and the values that will support our success. We established a transformation office to drive accountability and track progresses. We also conducted a portfolio-wide strategic review, identifying businesses that are strong, but that no longer fit with our future state criteria. Finally, we began our cost-saving program. This is what we call Phase 1. We have now launched into Phase 2 and activating our plans. The goal is to create a steady drumbeat of execution, which will take time and discipline. In the first phase, we will continue to focus on executing our road map and delivering strong performance to achieve our ambition to be unique. Let me now provide an overview of how we are going to do. Let's move now on Slide 19. Consistent with what I have communicated in April 2024, our One Symrise Strategy is structured around 3 core pillars: portfolio; growth; and efficiency that are aligned to clear financial aspirations, durable profitable growth, robust business free cash flow generation and compounding returns. The strategy is purpose-driven, guided by the clear strategic lens, where to play and how to win. Starting with portfolio. We are pursuing proactive portfolio management to sharpen our strategic focus and optimize capital allocation. Our approach balances global scale with local execution, positioning Symrise as a differentiated niche player in high-value segments across the industries where we participate. On growth, we are intensifying our customer focus, driving innovation that is rooted in our core capabilities and clearly differentiated in the market. Our goal is to deliver unique value-added solutions and deepen customer partnerships. This positions us to grow above market and more profitably. And finally, efficiency. We are focused on operational excellence, strengthening our span of control across the value chain and exercising disciplined expense management. This will support sustainable margin expansion and help unlock further operating leverage as we scale. Please now turn to Slide 20. At our November 2024 Capital Market Day, we announced portfolio management as a key pillar of the One Symrise Strategy. Through the strategic review, we identified portion of the portfolio that are noncore and do not align with our focus on high margin and low capital intensity. Specifically, we are in the process of divesting the Aqua Feed business, which specializes in the valorization of tilapia and shrimp byproducts. To date, we have sold our Costa Rica site, and we are closing the Ecuadorian site. On the Q1 trading update, we announced a strategic assessment of the Terpene Ingredients business, part of the Aroma Molecules. Today, we are formally seeking strategic alternatives. All these activities will contribute to our One Symrise Strategy execution and position us for an improved business mix. And now let's move on the Slide 21, growth. I also want to highlight the progress and momentum we are building through our innovation ecosystem, which is and will continue to support our growth. Numerous product launches took place in the first half and all are examples of proprietary intellectual property. Just one example. Product we launched called Metabolic Health by Probi, which is a solution developed to reduce the risk of metabolic syndrome while supporting cardiovascular health. Our innovations reflect our commitment for delivering science-backed products that meet the growing demand for effective health support. Our customers valued our innovation through notable recognition, which made me proud of our R&D teams around the world. Our unique solutions are a clear differentiator to drive sustainable organic growth. Turning to Slide 22, efficiency. We have made meaningful strides in optimizing our processes, leadership impact and efficiency to drive profitable growth and shareholder value creation. In addition to the EUR 50 million in cost savings we achieved in 2024, we identified an additional EUR 40 million as part of our 2025 efficiency plan, which covers defined initiatives with clear focus areas and measures in sourcing and procurement, global asset management, increased productivity and a streamlined portfolio. In H1, we realized EUR 20 million and expect to achieve the remaining EUR 20 million by year-end. Let's move now to the Slide 24 and our outlook. As we look ahead to 2025, we acknowledge the evolving global landscape, one marked by both challenges and opportunities. Our outlook reflects these realities, yet we remain confident in the resilience and agility for Symrise. While the broader market is projected to grow at a moderated pace of 2% to 3% globally, the strength of our innovation pipeline and the vitality of our projects with strategic customers continue to set us apart even as we navigate tough year-on-year comparisons. We are not simply reacting to market changes. We are proactively shaping our future. These strategic actions are already yielding tangible results as seen in our recent margin improvements and our ability to deliver value despite headwinds. For 2025, Symrise is now targeting organic growth in the range of 3% to 5%, down from 5% to 7% previously, but still outpacing the overall market and reaffirming our commitment to above-market growth. Our enhanced EBITDA margin target of approximately 21.5% reflects our efficiency gains and portfolio optimization. Furthermore, we are maintaining a robust objective for business free cash flow, expecting it to be approximately 14% of sales. These targets are not isolated ambitions, but rather milestone on a longer transformation journey. We remain committed to the goals outlined at our November 2024 Capital Market Day, setting the course for profitable growth and financial discipline through 2028 and beyond. Therefore, we reaffirm our midterm targets, aiming for organic compounded annual growth of 5% to 7%, an EBITDA margin in the range of 21% to 23% and a business free cash flow of more than 14%. With that, I'm let open the floor for your questions. Thank you.
Operator: [Operator Instructions]. The first question comes from the line of Matthew Yates from Bank of America.
Matthew John Peter Yates: Yes, a couple of questions, please. First one, just to get out the way. Olaf, to clarify, on Slide 13, you've got about EUR 10 million or so of identified items. Can I just double check? Are you saying those are within the EUR 554 million of reported EBITDA and you haven't adjusted for them? I'm just really trying to get a sense of the second half given seasonality versus the momentum you have in the business, but you haven't adjusted the numbers for those items. Is that correct?
Olaf Klinger: It's all in, Matthew.
Matthew John Peter Yates: Okay. Fine. All right. Second question, sorry, a bit more open-ended and complicated. Same slide, but I'd like to ask about the 250 basis points of gross margin improvement because it's a very big and impressive number. And the question is basically how. You talk about EUR 20 million of cost saves, but I'm guessing some of that relates to things like operating expenses rather than just COGS. So maybe you can describe and elaborate in a little bit more detail what you've been doing to get those gross margins up so much? And I know you've given a midterm EBITDA margin target, but I wonder whether I could push you to also talk about where gross margins may ultimately go because the more gross profit you have, obviously, the more flexibility you can actually reinvest in the business? And then finally, just to tag on, is there any trade-off here when you talk about prioritizing mix and profitable growth that is clearly coming through in the gross margin, but possibly is at the expense of the top line development?
Jean-Yves Parisot: So I propose Olaf to answer your question, Matthew.
Olaf Klinger: Yes. So first, again, Matthew, everything is in the 21.7% margin you see. The 250 basis points on gross margin is, first of all, impacted what we mentioned that in the prior year, we had the EUR 17 million impairment, which is part of the COGS picture. So you need to balance that out. That's the first comment I would make. The second, you rightly caught the EUR 10 million extraordinary items. They are primarily ending in sales and marketing and G&A while the efficiency gains, which we have identified, the EUR 20 million are primarily in the COGS picture. So you have a trade-off between the different P&L lines, which are impacting this P&L picture and help to show the 250 basis points gross margin improvement. I think the efficiency program, which we have flagged in the Capital Markets last year around sourcing and procurement, around global asset management, the increased productivity and also the streamlining of the portfolio, the mix, which we are achieving and where the focus is, is going into the COGS, the gross margin improvement. And that is, of course, a big driver also going forward that we can further improve our gross margin situation by putting these efforts exactly in the areas I just flagged. So I would hand over to Jean-Yves for the trade-off, the mix, which we have achieved.
Jean-Yves Parisot: Okay. So concerning the different mix and trade-offs, the question today is how do we improve the profitability of the company. And we are working, as we said, with different levers, different buckets. And first, on the sourcing of procurement, we are realizing economies of scale. And we are really optimizing our position for key raw materials. And Olaf mentioned citrus, and we are buying citrus across different segments. And the idea now is really to gather and have a common way of buying this type of raw material. Concerning global asset management, we are also optimizing the way we are organizing the tender for the freight, organizing the logistics. So we are really gaining a lot of momentum in these different 2 big buckets. So you can really see the impact already in the gross profit.
Operator: The next question comes from the line of Lisa De Neve from MS.
Lisa Hortense Maria De Neve: This is Lisa from Morgan Stanley. I have one on pets. Can you please provide us with some detail on the level of price concessions that you're making in Pet Food and really Pet Nutrition? And to which extent do you feel confident that the negative pricing will subside towards the end of the year and basically that we won't see this anymore from 2026? That's my first question. And then secondly, and maybe that follows on a little bit from Matt's previous question, but more focused on free cash flow is can you share how you're thinking about free cash flow generation for this year in the second half, especially in the light of your net working capital build in the first half? And more broadly, I mean, how should we think about your net working capital intensity structurally, especially given we already see an improvement in your gross margin in the first half this year?
Jean-Yves Parisot: Okay. So thanks, Lisa. It's very good question concerning the Pet Food. And as you know, Pet Food is a key growth driver and a key pillar for Symrise. And I will let Olaf answer for the free cash flow generation. Concerning the Pet Food, it is still for us for a long time, still a very strong strategic growth driver. Now as we explained at the beginning of the year, we are in the normalization year. I should say summarizing that it's not the year of Pet Food. And you know that during COVID, Pet Food was really benefiting from the spike during the COVID. Now during this normalization, we see some shift on the market, and we see some shift global customers moving now to -- in terms of market share to local and regional, and we are actively working on it, and we see also some pressure on prices, specifically on nutrition from key accounts. So what is the price impact on the Pet Food? So definitely, the prices are up in Palatability, but we are suffering in Nutrition. As I mentioned also in the former quarterly call, and we are still in the price adjustment for Nutrition. Concerning our projection for '26, a big piece of this price adjustment fortunately will have been done in 2025. We can never project what will be happening next year. But definitely, the price at the end of the year will be normalized. So that's also something which is making us feeling comfortable for the next year after this -- as I told, a normal -- what I call a normalization year. So I will hand over to Olaf for the free cash flow question.
Olaf Klinger: Yes. Thanks, Lisa, for the question. On the free cash flow, actually, I'm quite positive on the second half. We have benchmarked ourselves a little bit over the past months. And I think there are 2 areas where we clearly put a lot of focus now with our ambition to have a global procurement environment in place. There's definitely upside on the procurement terms and conditions, which we are addressing. That's one area of improvement. And the second one, lots of focus on inventory management with a different approach. We have all divisions with an action plan to address the inventory situation. Some are natural in Aroma Molecules, we are taking actions with the sourcing strategy. In all divisions, there is a clear agenda how to bring the inventory level down by the end of the year. And that, as I said, makes us quite positive that there will be further cash flow generation coming.
Operator: The next question comes from the line of Alex Sloane from Barclays.
Alexander Morrow Sloane: Two questions from me also, please. Just firstly, in terms of the reason given for the lower organic sales growth guidance this year. You talked about a global demand environment that's more challenging than expected, now expecting 2% to 3% market growth, which obviously you hope to outperform. I guess what gives you confidence that market growth accelerates in '26, and which are the areas you're expecting most reacceleration in and why, please, would be the first one? And the second, I mean, at the CMD, you talked about a need to reinvest some of the ONE SYM savings over the transformation period. Is there any reinvestment of the EUR 40 million planned this year? And can you perhaps share any more detail in terms of the size of the total reinvestment that might be required to 2028 now that you've done more work on analyzing this, please?
Jean-Yves Parisot: Yes. Thanks a lot, Alex. So I will take the 2 questions for the -- concerning the lower growth guidance for this year. We had initially a 5% to 7% guidance based on what we were perceiving last year from the market. And a proof point is today, the market is not at the level of growth as we were expecting. And I think it's also something we share with our big customers, right? The market is slowing down in some sectors, in some regions, it's not slowing down everywhere. So we are really working for moving and capturing where we can capture value means customer shifts mean fastest-growing regions like Middle East, Africa, also through innovation. And as you see, as you have seen also in the deck, I wanted to share also with you, we are really launching innovative products. So it means that we are prudent and we prefer to say 3% to 5% for end of this year. We already reach the 3%. So the second part of the year, first, we have some products which will be launched. The second is the comps, the comparables for the semester are not so tough for the second semester. And we prefer to give you a transparent signal about that rather than doing impossible or price decrease or crazy things on the market. So it's a way to be prudent, but very confident. And the confidence is for 2026 and beyond. So we have no reason and we see no reason to change the guidance. On every key market, we see potential growth and Pet Food, we see still massive opportunities. Food & Beverage, we see very strong competitive edge. In Fragrance, the growth is a very good growth, and today is hided by a poor Cosmetic Ingredients performance. You know what because the Q1 was very strong last year. And last but not least, we are building also this One Care division with cosmetic, probiotic health-actives, where we see a lot of traction from the market. So we see no reason not to believe in an acceleration of the growth in 2026. Now coming back to the CMD and the need to reinvest. Yes, we are building the future, and we need really to balance the way we are using our capital. So -- and the cash we are generating. So the EUR 40 million we will generate this year through cost savings, the idea is to reinvest part of them for preparing the future through digitalization, which is definitely a road map we are also implementing. We are accelerating our digital road map. And the digital road map is not only digitalization or AI or things like that. It's also strengthening our internal processes, our internal database, our internal data sharing. And it's part of One Symrise organization to reshare much more data across the organization. So part of it will be reinvested also in R&D or sales development. We cannot tell you today what -- which percentage will be reinvested or not. We have, as I said all the time, we are our midterm plan where we have a clear forecast of what we want to gain and what we want to reinvest. But today, it's so volatile everywhere. But depending on if we gain more or less, we will reinvest more or less. We'll be very prudent also in the way we reallocate the cash we will deliver from the savings. So more to come, and I'm sure that on a quarterly basis, I can give you more details on the way we will really allocate this capital.
Operator: We now have a question from the line of Ed Hockin from JPMorgan.
Edward G. Hockin: I've got 2, please. My first one is Food & Beverages, it appears slowed down somewhat in the second quarter of the year. I think it's high single digit in Q1 is now flagged mid-single digit for H1. Is this just the case of tougher comparatives that you're seeing in Food & Beverage in Q2, in which case, I think you still have quite tough comparatives in Q3 as well. So if you could elaborate what you're seeing in terms of trend in your Food & Beverages business and how we should think about Food & Beverages for the remainder of the year? My second question, kind of a bigger picture on the balance sheet. So you're now standing at net debt of 2.4. I think as well, your leverage is typically higher in H1 and you made more of your cash in H2. So is it reasonable to presume your debt is closer to 2x by the end of the year? And if that's the case, how do you see the environment going forward for further acquisitions or effectively how comfortable you are for your leverage to go below the range and just lower from there?
Jean-Yves Parisot: Thank you, Ed. So I will take the first question and give the second one to Olaf. Food & Beverage, so it's a very important question for me because Food & Beverage represents a big part of our revenue and profitability. It's really a key legacy leg of the company. And I just want to take this opportunity to remind everybody that we have a very strong differentiation with the Natural business, not only the Natural business, but also some specific solutions across the well-being, low-salt, low-sugar, meat replacement and so on. So today, we are overperforming the market, and we are overperforming the competitors in food & beverage. What is happening now? If you take -- and if we go in the detail of the figure, we are -- if we take the first semester, the growth of Food & 8:04 Beverage is close to 6%, 5.9%, which is a very good performance. The question is now you know that the second quarter is only 3.5% for 2 reasons. The first one, we did a very good first quarter. And the second one, and you mentioned it, was really more than 10% on Q2 last year. And if we take Q3, the Q3 last year in Food & Beverage was also double-digit growth. So the comparable on Q3 are also strong. Last year, the comparable last year was 11%, 12%, 10%, Q1, Q3, Q4 altogether in Symrise and 0% at the end, right? So year-to-date for Food & Beverage, the growth was 10% for this '24 versus '23. So we are really targeting that. So we are doing 6% above the 10% of last year, which is a very good performance. Now you got the point. The comparables are really strong, even stronger because to be clear, it was more 12% last year. So the comparable are stronger. But it's a phasing picture. But altogether, in terms of prices and volumes, we are growing in every compartment of Food & Beverage. Now concerning the balance sheet, I'm letting to Olaf.
Olaf Klinger: Yes. Thanks, Jean-Yves. And thank you, Ed, for the question. Yes, first of all, we are glad that we are steering in the corridor despite paying out the remaining Probi shareholders in the H1 environment plus paying our dividend. So it's a strong balance sheet. And as you know, we have a portfolio approach, which incorporates not only organic growth, but also inorganic growth. And we continue searching for acquisition targets which fit very well into our portfolio. That's an ongoing process. And therefore, there is a chance that we will also continue with acquisitions if we find the right one, which is very important, that there is a strong strategic rationale to acquire a piece to the portfolio. If we drop temporarily below our corridor, I think it would be the first time, at least in my time, that this happens. So I would not mind the situation. But rest assured that our capital allocation takes, of course, also our strong balance sheet, the net debt corridor in consideration whatever we do.
Operator: We now have a question from the line of Charles Eden from UBS.
Charles Eden: Two questions from me also, please. Can I firstly come back on Pet? And obviously, it declined organically in Q2. You said flat in the half and it was up modestly in Q1. I know you don't want to give the volume-price split here and certainly not by business areas, so Palatability and Nutrition. But I'd urge you to do so because I'm really struggling to understand quite what's going on. So if I could just ask again, if you could give us the volume-price split in Pet, specifically between Palatability and Nutrition, that would be very helpful? My second question is on the guidance. And Jean-Yves, I pick up on the words you're being prudent with the bottom end. I guess I understand the comp is easy for Q4 because of the hyperinflation FX pricing adjustment last year. But if I look at Q3, is the expectation that you see an improvement versus this 2% organic number you've just printed for Q2? Or given market conditions sound like they're broadly similar, you're expecting a similar number in Q3 and then you kind of get there into the sort of mid-end plus of the guide through the Q4 comp. If you could just sort of help me in how you're thinking about the trajectory in Q3 versus Q4?
Jean-Yves Parisot: Yes. So thank you, Charles. So -- and again, your first question is a very, very precise question. I know that we had also the question more or less this morning with [indiscernible] had this question there. So we give the price volume for the segment and the division. And for T&H, for Q2, price was 1% and volume flat, I should say, right? Minus 0.2%. So concerning the Pet, and you got it also there is a Pet Palatability and the Pet Nutrition. And as I told, we are slightly negative in Pet Food, right? But the slightly negative is due to Pet Nutrition. That's what I can tell you. And the Pet Nutrition is mainly due to price adjustments. So -- and the question is what about the current situation on Pet. We are following the market, not only following the market, but I told we are also reacting proactively. We are investing in new type of products, investing in new type of customer, new customers and also entering regions where we're not yet really present. So we are really also creating new piece of the market. Just to give you -- so come back because you will be certainly frustrated by my answer, which will not give you price-volume very precisely. The question is really to understand that we are in a normalization year, and that's what I was, by the way, answering to Lisa. We are in a normalization year where the normalization is on the Nutrition pricing. And on Palatability, it's a shift of the market. And if we hear all the big accounts, the volumes are not there this year. The volume of the pet market are not totally decreasing. It means that it's going in some other hands, private label, local regional. But in any case also, we are all convinced that the volume will go up again. And after this phase of normalization, Pet will be back as a profitable growth driver for Symrise. So this is for the first question. Concerning the guidance and the prudent guidance, Q3, Q4, it's always difficult to give one figure for Q3 versus another quarter. The quarter is only 3 months. And if we sell in June or July, it has an impact on Q2 or Q3, right? So what I can tell you is that the perspective because we worked a lot on our outlooks, we work on the perspective, we have a program called Sales Boost, where we are also approaching customers for really seeing with the customer how we can really deliver better solutions and better way really to have some upside on our top line for the year. So it makes me confident in the new bracket for sure. But the question is if we start to give you an idea of Q3 on Q4, it starts to be a little dangerous. Taking into account that dangerous means risky. Taking into account that the comparable last year, as you mentioned, is 10% for Q3. So we have still a high comparative versus last year. And the comparable for Q4 is we made a flat Q4 versus last year. So Q3, Q4 will help us to really significantly increase the growth versus first part of the year. But again, your 2 questions are too precise, sorry, Charles, for me to really give you a specific answer. But at the end of the day, I'm very optimistic to deliver a result, which is corresponding to what we are really now guiding the market for.
Charles Eden: I appreciate that. I guess you did give a guide of 3% to 4% organic for Q1 earlier this year. I think that's probably why I would ask about Q3, but I appreciate your answer. And just maybe just following up on Pet, I guess, you're not going to give us the price- volume split, but are volumes growing in Palatability and in Nutrition? Is this a pricing issue in Nutrition only? Could you answer that question?
Jean-Yves Parisot: Yes. And concerning the volumes, if you take the first part of the year, the volumes are growing. For H1, volumes are going both sides. That's what I can tell you. It's not a high volume. It's not high growth, but we are in a growing market. As we said, the consumer are very cautious, but the market is still growing for H1, right? And after, as you can imagine, Q2 is a little suffering for us, but we have to -- and we will compensate for the end of the year, Charles.
Operator: We now have a question from the line of Ranulf Orr from Citi.
Ranulf Orr: Two from me. I'm just wondering, sorry to go back to Pet Nutrition, whether this business is really sort of evolving as you expected when you made the acquisition. Just given the pricing dynamics we're seeing, which do seem to be input cost led, it's not typically what we'd expect from a value pricing business from a specialty business. So is it becoming -- is there a risk it's becoming more commoditized or you're seeing a lot more competition emerging than you'd originally anticipated? So that's my first question. And the second one is just around the EBITDA margin guidance and the 21%, does that guidance hold pretty much whether you're at the top end or the bottom end of the growth guidance? Or is there a lot of sensitivity to that top line growth?
Jean-Yves Parisot: Okay. Just concerning the Pet Nutrition, so I think -- and I answer we are in a situation where we are really in restructuring of the market, in normalization of the market. And the acquisition on Nutritions, we did, we are still very comfortable and very confident that this acquisition was a good acquisition and a good complementary for the offers for Pet Food. Definitely, no change on that. Concerning the EBITDA, concerning the bottom and so on. So we are -- as mentioned by Olaf, we are really working on a lot of efficiencies we see a lot of good things happening. Again, the main question will not be the savings we will do because we are very confident for delivering the savings. But the way we will reallocate these savings for preparing the future. I mentioned digitalization, but there are all other things, regulatory affairs, innovation and so on and so on and so on. So the tricky part is really to know the way we'll arbitrate. So -- and that's something where we commit to this bracket. Myself more and more convinced that we can reach the 23% quicker than some are thinking, but it's too early to tell you more.
Operator: The next question comes from the line of Nicola Tang from BNP Paribas Exane.
Nicola Tang: The first would be just coming back to the relevant end markets and the downward revision, the 2% to 3% versus 4% previously. I was wondering if you could break that down a little bit more in terms of the end markets. So I guess we can talk about Pet, but also the rest of TNH and Scent & Care and what's changed versus previous expectations on the end market, which end markets, which geographies are driving this downward revision? And then in North America, clearly, the end market volumes are subdued, but there's a lot of talk around potential changes in food regulation under the Trump administration. I was wondering if you could talk about the discussions you're having with your customers, whether you see any change in pace or around reformulation or healthier foods? And then I hope you don't mind if I squeeze in just a clarification on the EBITDA margin guidance. What are you baking in, in terms of the exceptional amounts on a full year basis?
Jean-Yves Parisot: Okay. So concerning -- thanks, Nicola. Concerning the end market, it is [indiscernible] question because it's difficult to speak about one picture. So we spoke about the end market growth going down, slowing down. And depending on the industry, pet, fragrance and so on, all regions, North America, Latin America, the picture is very, very different. But altogether, we see that the momentum is not today there, and the market are globally slowing down. And when we see -- I know pet food quite well during 10 years, I was really growing this business. And when pet food going well, it's a good signal. When pet food is suffering, and it's not the year of pet food, it's the market also. And we are really seeing the market there. So we are preparing the future, of course, by doing a lot of proactive actions. So when pet food start to have also this impact, it signifies a lot. It means a lot because you all know that the pets are kind of new babies. So -- and for us, it's really a signal, and it must be a signal and it's a signal for our key customers also. And fragrance, the market, we see a lot of -- and I'll give you another example, counter example, we see the fragrance market with a lot of troubles for our big customers. I will not give you names, but you all know the names of beauty customers, which are restructuring and so on and so on. But for ourselves, the Fine Fragrance is going very well. And because also there are some shift. So the market globally is suffering, but there are some winners. And the beauty of in B2B that is also our objective, it's our target to be the one targeting the right challenger and the right new segment. So concerning U.S. and reformulation, I think that we also started to answer about reformulation and so on. So for us, reformulation is always an opportunity, opportunity for optimizing our product mix, but also opportunity for taking market share because we are very agile, we are very creative. And for us, it's positive and all what's happening is an opportunity. And concerning EBITDA and exceptionals, I will hand over to Olaf. And after, if you don't mind, I know there are still questions, but I will make some closing remarks, and we will finish here, if you don't mind. So Olaf?
Olaf Klinger: Yes. Thank you, Jean-Yves. And Nicola, thank you for the question. So first of all, we provide a reported EBITDA margin number in our guidance. We have flagged 3 items as exceptional for the first half. For the ONE SYM program, the transformation program, you can assume a similar amount for the second half, just for modeling purposes. Do the same for the legal cost, which we have flagged. There will be no further impact on EBITDA from today's perspective on the Aqua business, but we might occur some extra cost on the Terpene Ingredients side, which we would then flag at the right point in time. So that is what I can see at the moment for your modeling.
Jean-Yves Parisot: Okay. Thanks, Olaf. Thanks all of you for your questions. Again, frustrating that we cannot answer all the questions, but we have to stick to the timing. Myself, I propose to finish with one slide, and that's Slide 25 of our deck. And I want to conclude with 3 important remarks. The first one is we are now entering the activation phase of our transformation. And all what we are doing now is a transformation, where our strategies are no longer just plans on paper, but actions in motion. It's energizing our teams and forging new pathway towards lasting change. That is a very important message. You have to understand we are transforming ourselves. Meanwhile, we are delivering. And that's the second point. We remain focused on one we can influence. We have identified EUR 40 million in cost savings in 2025, and we will deliver this '25 with this EUR 40 million, EUR 20 million already achieved first part of the year and EUR 20 million to be achieved in the second part of the year. And on top of all, some people ask me, what about your team? It's a change of mindset. And I can tell you that the team is a team of passionate people of nearly 13,000 Symrisers and we are continuing to advance our goals through accountability and entrepreneurial spirit. Entrepreneurial spirit is the stamp of Symrise, and we keep it. And while we are still in the early chapter of the story, our collective drive ensure that the momentum is truly on our side. And you can feel and we can feel the momentum. It's our commitment to keep you, to keep our shareholders and the investment community at large up to date and our transformation progress in a thoughtful and transparent way. I really thank you for your interest, your interest in Symrise, your questions. We also learn with your questions. I hope we answer the way you are really convinced about the way we want to really build the transparency and trust with you, and we are looking forward for providing an update in October. Thank you all, and see you soon.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.